Operator: Greetings. Welcome to Eyenovia’s Third Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this call is being recorded. I will now like to turn the conference over to Eric Ribner with Investor Relations. Thank you. You may begin.
Eric Ribner: Thanks very much and good afternoon, everyone. And welcome to Eyenovia’s third quarter 2021 earnings conference call and audio webcast. With me today are Eyenovia’s Chief Executive officer and Chief Medical Officer, Dr. Sean Ianchulev; Chief Operating Officer, Michael Rowe; and Chief Financial Officer, John Gandolfo. Yesterday afternoon, Eyenovia issued a press release announcing financial results for the three months and nine months period ended September 30, 2021. We encourage everyone to read yesterday’s press release, as well as Eyenovia’s quarterly report on Form 10-Q for the quarter ending September 30, 2021, which will be filed -- which was filed with the SEC. The company’s press release and quarterly report are also available on Eyenovia’s website at eyenovia.com. In addition, this conference call is being webcast through the company’s website and will be archived there for future reference. Please note that on today’s call, we will be discussing investigational products, which have yet to receive FDA approval. Please also note that certain information discussed on the call today is covered under the Safe Harbor provisions of the Private Securities Litigation Reform Act. We caution listeners that during this call, Eyenovia’s management will be making forward-looking statements. Actual results could differ materially from those stated or implied by those -- by these forward-looking statements due to risks and uncertainties associated with the company’s business. These forward-looking statements are subject to a number of risks, including risks related to fluctuations in our financial results, volatility and uncertainty in the global economy and financial markets in light of the evolving COVID-19 pandemic, our ability to raise additional money to fund our operations for at least the next 12 months as a going concern, our estimates regarding the potential market opportunity for our product candidates and potential revenue from licensing transactions, reliance on third parties, the ability of us and our partners to timely develop, implement and maintain manufacturing, commercialization and marketing capabilities and strategies for our product candidates, risks of our and our licensees clinical trials including, but not limiting to, the cost, design, initiation and enrollment, which could be adversely impacted by COVID-19 and resulting social distancing, timing, progress and results of such trials, the potential impact of COVID-19 and related economic disruptions on our supply chain, including the availability of sufficient components and materials used in our product candidates, the timing of and our licensees ability to submit applications for, obtain and maintain regulatory approvals for our product candidates, changes in the legal regulatory and legislative environment in the markets in which we operate and the impact of these changes on our ability to obtain regulatory approval for our products, the potential advantages of our product candidates rate and degree of market acceptance and clinical utility of our product candidates, our ability to attract and retain key personnel, intellectual property risks and others detailed in and qualified by the cautionary statements contained in Eyenovia’s press release and SEC filings, including its most recent annual report on Form 10-K and subsequent filings. This conference call contains time-sensitive information that is accurate only as of the date of this live broadcast, November 11, 2021. Eyenovia undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this conference call, except as may be required by applicable securities law. With all that said, I’d like to turn the call over to Dr. Sean Ianchulev.
Dr. Sean Ianchulev: Thank you, Eric, and welcome everyone to our third quarter 2021 results conference call. This has been a busy time for Eyenovia, with the initiation of our second Phase 3 trial in presbyopia VISION-2, the recent news on MydCombi, which is now reclassified as a drug device combination by the FDA and the departure of Dr. Fred Eshelman from our Board of Directors. MicroLine, as you recall, is our product candidate for presbyopia, a market representing over 18 million people in the United States between the ages of 40 and 55. And who otherwise never wore glasses. VISION-2 is our second Phase 3 study for MicroLine and we recently announced the first patient enroll in the study and we look forward to completing this study early next year. Following Allergan’s recent approval of pilocarpine, I know is now the only company with a second Phase 3 trial underway. There is growing validation for the pharmacologic treatment of presbyopia with pilocarpine, with now three positive Phase 3 trials between Eyenovia and Amvia [ph]. Michael will provide additional information in a few minutes about this very important and valuable asset. We’re also working on the resubmission for MydCombi, our unique microdose array print formulation of two leading mydriatic medications or pupil dilation agent. As we recently announced, Eyenovia team is working quickly to provide additional information to the FDA for the expedited resubmission of MydCombi’s new drug application as a device drug combination. We understand the extrinsic circumstances that compelled the FDA to reclassify ophthalmic dispensers of with our Optejet is a highly sophisticated, groundbreaking technology. Heading our products reclassified as a drug device combination does not change what was seen in our clinical data and the additional and outlining regulatory requirements are non-clinician in nature, and we have prepared for this possibility through the years. Now it is a matter of understanding the specifics of the FDA feedback and addressing the items in the CRL. One potential positive is the ability of the Optejet dispenser in the future to work seamlessly with recent changes to the way that doctors may bill for remote therapeutic monitoring and the Center for Medicare and Medicaid Services or CMS manages the procedure code set that physicians and other healthcare professionals use to reclassify the services for which they bill. This code are commonly known as CPT code set, which stands for Current Procedural Terminology. During our recent update, new CPT codes for remote therapeutic monitoring were approved with five new codes that will become effective on January 1, 2022. Remote therapeutic monitoring has come into greater use with the COVID pandemic and will continue to be an important way for doctors to monitor and treat greater number of patients. Some of these new codes will cover the remote monitoring of data, including compliance and adherence data for pharmacotherapy, and this may provide a pathway for providers and clinics to get reimbursed for such care. Our Optejet technology has the potential to become a go-to-option for the remote therapeutic monitoring associated with topical ophthalmic drug adherence and compliance. This will not only open a new pathway for smarter more personalized eye care, but may enable a new reimbursement paradigm that can have real world benefits for patients with chronic diseases such as glaucoma. We’re closely monitoring the CMS and payer adoption of remote therapeutic monitoring and other telehealth initiatives as we work to create and enable the first pipeline of smart eye therapeutic with our Optejet remote therapeutic monitoring platform. Before turning the call over to Michael, on behalf of the entire company, I would like to take a minute to take our -- to thank our Chairman, Dr. Fred Eshelman, who has decided to sit down at the end of this year after a decade long Board leadership from the very inception of this technology and the founding of Eyenovia. Fred has been instrumental to our success and over those many years he have made significant contributions to help get us where we are today as a company. The Board will be working on a transition plan for the Chairman role and potential additions to the Board with the necessary skills and backgrounds to make meaningful contributions to the company. I will now turn the call over to Michael Rowe, our Chief Operating Officer for a review of MicroLine. Michael?
Michael Rowe: Thank you, Sean, and good evening, everybody. I would like to start with a review of our MicroLine program. MicroLine is our proprietary microdose array print pilocarpine therapy for the temporary improvement near vision associated with presbyopia. Allergan recently received FDA approval for the same molecule as an eyedrop for the treatment of presbyopia and we are very happy to see them opening up this market. Eyenovia’s product is different and that MicroLine is designed to be used on demand with the benefits of microdosing reflected in the very low rate of brow ache headaches seen in our VISION-1 trial, and a much easier and neither way of instilling the drug through the Optejet device. As you may recall, we announced positive data from our first Phase 3 presbyopia clinical trial VISION-1 earlier this year. Data from that study demonstrated positive efficacy and safety with far fewer side effects reported relative to pilocarpine eyedrop formulations. Importantly, in a post-study survey, 71% of study participants reported strong interest in using MicroLine for near vision improvement when approved. These patients said that they would expect to use the product three times or four times per week on average. We recently announced the first patient enrolled in our second Phase 3 clinical trial VISION-2. VISION-2 is a registrational double-masked placebo-controlled superiority trial of 2% micro-array print pilocarpine versus placebo. We aim to enroll about 140 subjects into the study and anticipate topline data in early 2022. We believe the addressable market for presbyopia to be many times greater than the addressable market for almost any other ophthalmic condition. So we are very excited about the potential of MicroLine as a key driver of our long-term growth. In the U.S. alone, there are estimated to be 18 million people between the ages of 40 and 55, who suffer from presbyopia, but who never had to wear glasses prior to having difficulty with near vision. This translates into a multi-billion dollar potential market opportunity. MicroLine is also intended as an on-demand companion product to reading glasses, for instances when using readers is highly inconvenient or undesirable. When you look at the clinical results, our plans for VISION-2 and the benefits of our Optejet dispenser, we believe we can capture a significant share of the market should MicroLine be approved. As Sean mentioned, our team is working on the resubmission of MydCombi to the FDA, in response to the complete response letter. The reclassification, which caused the FDA to modify their initial classification of our product from a drug to a drug device combination was triggered by a recent court case Genus Medical Technologies versus FDA, more information about which we have made available on our website. Specifically, the FDA is requesting certain device validation reports that were not required under a drug submission. One example would be validation reports for laboratory studies that demonstrate that the capabilities of the Optejet device should not degrade over the period of its shelf life. We routinely conducted these types of studies, but not -- did not submit a report with the MydCombi NDA, because it was not required under a drug submission. Now we are taking this information along with other work we have done and packaging it for resubmission. We cannot emphasize this enough. The CRL raised no issues with our clinical results or the product safety or efficacy and the CRL has no impact on our other programs. As Sean mentioned, the reclassification of MydCombi to a drug device combination may have broader positive implications for a platform technology, as well as streamline the future review of other late-stage development programs MicroLine and MicroPine. These programs also leverage our Optejet microdose dispensing technology. So the information being developed to support the drug device combination filing is very likely transferable across these programs. This is keenly important as we continue to develop MicroLine for presbyopia, a program with a multi-billion dollar sales potential. In summary, Eyenovia is moving forward on multiple fronts with late-stage programs that offer great potential benefits for patients, providers and our shareholders. We are excited about the potential benefits our technology can bring in light of the recent focus on remote therapeutic monitoring. We remain focused on progressing these programs to potential regulatory approval as efficiently as possible and look forward to providing additional updates in the coming weeks and months. I would like to turn the call over now to our Chief Financial Officer, John Gandolfo to provide a brief update on our licensing agreements, including the status of MicroPine, as well as a financial update. John?
John Gandolfo: Thank you, Michael. I will start with a brief update of our licensing agreements with Bausch Health for MicroPine in the U.S. and Canada and Arctic Vision for all three of our drugs in China and South Korea. MicroPine is a proprietary atropine formulation for the reduction of pediatric myopia progression. It has been shown in clinical studies to slow myopia progression by 60% or more. There are currently no FDA approved drug therapies for this indication, and if left untreated, this can result in retinal detachment, myopic retinopathy, vision loss. Bifocal or multifocal glasses or contact lenses are typically prescribed to myopia children. Recall that as part of the agreement with Bausch Health, they agree to assume oversight and costs related to the ongoing Phase 3 CHAPERONE clinical trial. This is a 48-month U.S.-based multicenter randomized double-masked trial that is enrolling more than 400 children between three years and 12 years of age. The trial is comparing microdose MicroPine 0.1% versus placebo ophthalmic solution. Enrollment is progressing as planned. Our agreement with Arctic Vision covers Greater China and South Korea. And while the original agreement was from MicroPine and MicroLine, they also recently added MydCombi as well. So Arctic Vision now accesses all three of our current programs. We are pleased that Arctic Vision recently had its MicroPine IND accepted in China, and is completing a PK study and preparing to start their Phase 3 study. So that program is also progressing nicely. To-date our license agreements have generated approximately $16 million in license fees and we have the potential to earn an additional $85 million of license and development milestones, and reimbursable expenses over the next four years. Upon commercialization, if approved, we can also earn significant sales royalties as well. Development is progress progressing and we are seeking additional licensing partners for other key geographical territories. We’re also continuing to assess potential pipeline expansion opportunities, as we believe we can leverage the Optejet technology to address unmet needs and additional large ophthalmic indications. As we indicated last quarter, some examples include anti-infectives, anti-inflammatories, dry eye and glaucoma, each with significant market opportunities. Now, I would like to review our financial results for the three months ended September 30, 2021. For the third quarter of 2021, we reported a net loss of approximately $5.6 million or $0.21 per share on approximately 26.1 million weighted average shares outstanding and this compares to a net loss of approximately $5.1 million or $0.23 per share for the third quarter of 2020 on approximately 22.2 million weighted average shares outstanding. R&D expenses totaled approximately $3.5 million for the third quarter of 2021 and this compares to approximately $3.4 million for the same period in 2020, an increase of approximately 3.2%. For the third quarter of 2021, G&A expenses were approximately $2.4 million, compared with approximately $1.7 million for the third quarter of 2020, an increase of approximately 40.1%. Total operating expenses for the third quarter of 2021 were approximately $5.9 million, compared to total operating expenses of $5.1 million for the same period in 2020. This represents an increase of approximately 16%. Operating expenses also included approximately $777,000 of non-cash stock compensation expense. As of September 30, 2021, the company’s unrestricted and restricted cash balance was approximately $21.4 million. Our current unrestricted and restricted cash resources are approximately $30 million and we believe this provides the company with sufficient cash to fund all our programs through 2022, due to the anticipated reduced spending with the delayed launch of MydCombi. Therefore, we expect that current cash resources will be sufficient to bring out MydCombi mydriasis product through the NDA process and commercial launch, complete our presbyopia clinical program for MicroLine and complete the preparation of our pilot manufacturing facility. In closing, we continue to be pleased with our performance to-date. To summarize our key highlights today, we are continuing to rapidly advance our Phase 3 presbyopia program. We recently initiated the second Phase 3 trial of VISION-2, with topline data expected in mid-2022. We are actively preparing for the resubmission of our MydCombi NDA in the first quarter of next year, which if approved, would give us our first commercial product and validate our Optejet dispensing technology. Our licensing agreements with Arctic Vision and Bausch Health are progressing well and continue to offer the potential for meaningful development and regulatory milestones, potential non dilutive funding that we can use to expand and advance our pipeline of novel therapeutics leveraging our MAP technology. We believe we are well positioned to achieve multiple commercial regulatory and development catalysts this year and next for the benefit of shareholders and patients alike. That concludes our prepared remarks. We would now like to open the call to questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question is from Tim Chiang with Northland Capital. Please proceed.
Tim Chiang: Thanks. Sean and Michael, maybe you could just talk a little bit about the resubmission for MydCombi, what exactly do you have to basically refile to the FDA with this reclassification? Is there any -- also is there any additional safety data that you have to provide to the FDA with the resubmission?
Dr. Sean Ianchulev: Hi, Tim. This is Sean. I’ll try to take that. It’s exactly as we mentioned and I think Michael went into some detail. I don’t think we can provide too much granularity. But to your points, I think, we can answer clearly that there is nothing that has to deal with either the safety or efficacy and it’s nothing that really concerns the clinical data. It’s really more procedural in nature and it has to do with the validation verification type of activities required on the device side, which we’re very familiar. In fact, we have dual quality systems that we’ve maintained for that very reason. But, again, we are not going to really go into too much detail, because we’re working very actively to fully understand every single item and coordinate and have a call with the FDA, so that we can make the resubmission as quick as possible. But, we’re --, it doesn’t change anything about the performance of the device, of how the device works or the clinical utility and the clinical performance. It’s mostly on the validation verification signed for the device.
Tim Chiang: I see. Okay. And then maybe just one follow up. Obviously, Allergan pilocarpine product recently got approval, I was looking at their label, and I guess, the treatment effect from their studies versus the vehicles around, I don’t know, give or take 20% treatment effect. Do you think that you’ll have comparable rates of efficacy with your MicroLine product, in that sort of treatment effect about the same as what you’ve received in the VISION-1 study?
Dr. Sean Ianchulev: Right. So we’ve reported the results on the VISION-1 study and those are publicly available. I would really hesitate to speculate about our overall data in VISION-2 two. But on the flip side, we’re going to have that very quickly and very soon. I think, Ginger from the operations team is very optimistic we’ll be able to enroll this study fairly quickly, even quicker than VISION-1. There is such high interest in the field of presbyopia. There is such high availability of patients. And particularly when it comes to the Optejet, there is really a competition for site, sites are competing to really get into the study, because they appreciate how unique that technology is in that particular indication. And especially as we reported in the VISION-1, that we got only a less than 2% rate of headaches, which we know with the overdose or the topical treatment with the eyedropper, that is the more in the vicinity of 12% to 14%, 15%. So, I think, there’s a lot of things that we’re encouraged by and very excited when we’ve seen our and reported our VISION-1 data. We want to validate that with VISION-2. And ultimately, again, the MydCombi part will, we hope once we address that it will not impact in any way the presbyopia pilocarpine program for us. And we’re very excited that Allergan is really validating that and as the pharmacologic therapy now on the market, developing the space for follow on therapy.
Tim Chiang: All right. Okay.
Michael Rowe: Tim, I’m actually -- Tim, I want to add something to that.
Tim Chiang: Sure.
Michael Rowe: You correctly pointed out that the delta between the three lines of 15 character improvement and placebo was 20%. That’s what’s required for the FDA approval. But in this market, given a two line 10 letter improvement can be the difference between I can read my cell phone and I can’t read my cell phone. So you have the barrier or you have the bar that you have to get over for the approval, which is very high. But an actual benefit for a patient many, many more patients will benefit even from the lower bar to do, for example, with our product on-demand to get your functional vision to get to that functional benefit. So, there’s -- just -- I just want to make it clear, there’s what’s required by the FDA versus what it is that patients are going to be happy with.
Tim Chiang: Okay. That’s really helpful. Thanks, Sean. Thanks, Michael, for that additional color.
Michael Rowe: Sure.
Operator: Our next question is from Matt Kaplan with Ladenburg Thalmann. Please proceed.
Matt Kaplan: Hey, guys. Thanks for taking the questions. I just wanted to follow up on the refiling for MydCombi? If you look at the data your end and so that you already have in hand, with respect to validation and verification, how much more work you need to do from de novo or from scratch to be able to refile? I guess where are you in that process do you think?
Michael Rowe: Hey, there. It’s Michael. We’re -- I would say that we probably have 95% to 99% of it already. And where we don’t, it’s not like we have to do a clinical study, it may be just going back to look up the Reg and then finding the validation studies that we had done and rewrite it to match whatever that regulation might be. So there’s nothing in terms of any clinical that we need to do. And right now it really is going through all of the validation reports that we’ve already done and where there might be a piece or two missing, we just fill in the blanks for that.
Matt Kaplan: Okay. That’s great. And when you refile what’s your expectation in terms of the Class 1 or Class 2 with you at this point?
Dr. Sean Ianchulev: Yeah. So, Matt, I would love to answer this, but probably the best time to do it in the next call when we have some feedback from the FDA. I would hate to speculate now. And also what Michael said, is absolutely correct, and we’re very encouraged by the fact that we do have the majority of the data. And this is partially because our team, and we’ve said that before, that we’ve maintained your quality systems and a lot of our engineering data, and processes have built in verification/validation, because the fact that the FDA reclassifies it does not make us less or more of a device than we’ve always been. When it comes to utilization in the field and how this has to be made. It has to be made with all the appropriate quality control systems, because ultimately, it will be used by the patient. The part that we don’t know is obviously the FDA will have an additional review team or additional reviewer from the device side. And one part from us that’s really unclear is, given what we’ve developed on our own and what we have created following all of the device regulations and specifications, how acceptable and how they would really be in line with their expectations, because we’ve never had discussions with anybody from the device side. So, again, there’s a couple of things that we want to absolutely ascertain before we provide information or come back to you with something that may or may not be true. It may turn out that it’s a very easy thing. But having dealt with the regulations and FDA before, it’s always important to have very specific feedback and we intend to get back to them very quickly, addressing all their points and showing them the information we already have to make sure that we can expedite that.
Matt Kaplan: Okay. That makes sense. Thanks. And then follow up on the MicroLine program, given the recent approval, Allergan and I guess the evolving competitive space in terms of presbyopia and other programs out there. Can you talk about the differentiation of MicroLine versus other programs?
Michael Rowe: Sure, Matt. The differentiation is going to be on which of these products best match the patient’s lifestyle. If you go to an optometrist and I believe they will be the principal prescriber of these. These are generally patients who’ve never been into their offices before, because their entire life, they’ve never had to wear glasses. So now they’re coming in because they’re having trouble with near vision and they’re looking for options, and what they don’t want is to turn presbyopia into a disease. They want something that’s as easy to use as glasses, but it’s not glasses, they’re looking for like invisible glasses. And what MicroLine will give them is that ability to manage presbyopia so that they can use the product when they would like to in a way that they would like to, easy to use and something with minimal side effects and I think that’s one of the biggest differentiation -- differentiators. So the ability to use an on-demand number one instead of having to take it every day, because right now people don’t take their medications every day, to have a very low side effect profile would be the other differentiator. And the third one would be to make it easy and convenient for them, which the dispenser does. And I think that’ll make a real difference in the market research we’ve done once you put the Optejet into somebody’s hands. That’s really all you have to do. It makes all the difference in the world when they see how good that technology is.
Matt Kaplan: Okay. Makes sense. Thanks. Thanks, Sean. Thanks, Michael.
Dr. Sean Ianchulev: Thank you.
Operator: Our next question is from Len Yaffe with Stoc*Doc Partners. Please proceed.
Len Yaffe: Thank you very much. Yeah. Mike and Sean, just wanted to have you go over again, what I think is the critical point as it relates to MicroLine is that, this as you’ve talked about before is a cosmetic product where people are often going to be using it in social situations, such as not having to wear reading glasses going out to a restaurant or being at an event where they’re going to be photographed and they don’t want to have to be photographed with glasses. And therefore, the incidence of side effects with a cosmetic is the greatest deterrent, because people don’t want to feel bad for a cosmetic gain. So I was just wondering, as I understand with Allergan, they’re at their adverse events greater than equal to 3% in their trial included headache, blurred vision, eye pain and hyperemia. And obviously, as it relates to being photographed, hyperemia would be a significant difference. Could you discuss your specific adverse event profile that you’ve seen and to the extent that you think that this is an important differentiation? Thanks so much.
Michael Rowe: Sure, Len. I’ll start with hyperemia, because pilocarpine doesn’t generally cause hyperemia. So even though it showed up in their trial and traced a mile showed up in ours, at least in our case, it showed up because we asked people to look for it. So we specifically asked the investigators do you see any hyperemia. And then I think something like 20% of cases, they said yes, traced a mile for that news transit and disappeared very quickly. I think the big one is going to be the headache or brow ache and that is directly related to how much drugs you put on to the eye, because what happens is you put excess drug, it gets into the local circulation and you get the muscle between the eyes tensing up and that’s the brow ache, and that is directly relation -- in relation to how much drugs you give. And so not surprisingly, what Allergan saw, I believe in one of their trials was a headache or brow ache graded for about 14.8%, something close to that, which is what you see, for pilocarpine in general, and would be what’s expected. And in our trial, we saw about 2% and that’s because of how much drug you’re putting in. And I agree with you that, the headache could be classified as transient or minimal, but it’s probably something most people don’t want to even have to bother with. So I see that as a key differentiator between us and the --any of the drop products. Thank you.
Len Yaffe: Okay. And so then just as a follow up, as it relates to pediatric progressive myopia, which is virtually an epidemic worldwide and it has been exacerbated by COVID-19, with kids staying inside more and looking at near-term computers or cell phones. How long a study do you think that will be and where do you think you’ll be positioned competitively versus any others who may be looking at this market, which, I think, could be far larger than presbyopia?
Michael Rowe: Yeah. That’s a great question, because I’m here at the Eye Shell Raider [ph] Meeting in New Orleans. And we just had a myopia panel that Sean was a part of and this is a big discussion. The studies are three years with a fourth year in there as a follow up that’s required by the FDA and they’re staying firm on that. There are two eyedrops ahead of us, Nexus and Nevakar and then we come out and then the other products that are coming are just going into Phase 1. So they’re years and years and years away. I’m not particularly concerned if we come out a year or a year and a half behind the drops. Number one, there’s plenty of patients coming in, new patients all the time. Like you said, it’s an epidemic, there are literally millions and millions of these kids, unfortunately, are going to be available. Secondly, it’s the kind of therapy that once we do come out if it’s the better mousetrap and I believe it is, they can be switched, because we’ll be going from an atropine drop to an atropine in the Optejet dispenser were some of the benefits they may get because of that is lower systemic absorption, which is always nice for kids, and it’s more comfortable, because you’re taking less as a sting. And also because the device itself can track compliance and adherence to therapy, which often kid is not using the drug, then they’re not going to get the benefit. So that’s something else that can help them as well. So, right now, I think, we’ll probably be number three, a close number three. But again such a big opportunity, unfortunately, that it’s not something that terribly concerns me.
Len Yaffe: Great. Thanks very much.
Michael Rowe: Thank you.
Operator: With no more further questions, I would like to turn the conference over to Sean for closing remarks.
Dr. Sean Ianchulev: Yes. Thank you everybody for listening in and we look forward to our next update next quarter, when we’ll have a lot more information and hopefully everybody has in the meantime happy holiday season. Thank you.
Operator: Thank you. This does conclude today’s conference. You may disconnect your lines at this time and thank you for your participation.